Marseille Nograles: Good afternoon, everyone, and thank you for joining us today. I'm Jinggay Nograles, Head of Investor Relations here at PLDT. And it's my pleasure to welcome you all to our 9-month financial and operating results briefing. Joining us today to share insights into PLDT's performance and strategic direction are PLDT's Chief Financial Officer, Mr. Danny Yu; PLDT's Chief Operating Officer, Mr. Butch Jimenez; PLDT Corporate Secretary, Marilyn Victorio-Aquino; PLDT Chief Legal Counsel, Attorney, Joan De Venecia-Fabul; Head of Consumer Business, Mr. John Palanca; Head of Enterprise Business, Mr. Blums Pineda; ePLDT President and CEO, Viboy Genuino as well as our OICs for Smart, Lloyd Manaloto and Ms. Marjorie Garrovillo. All right. So before we begin, I'd like to remind everyone that we will have a Q&A session after the presentation [Operator Instructions]. To start, I'd like to invite our Chief Financial Officer, Mr. Danny Yu, to walk us through PLDT's financial performance.
Danny Yu: Good afternoon, everyone, and thank you for joining us today. Allow me to present PLDT's financial and operating highlights for the first 9 months of the year. Our service revenues net of interconnection cost reached PHP 145.9 billion, up 1% year-on-year, driven by steady demand across fiber, data and ICT. Cash OpEx, subsidies and provisions were down 2%, showing our focus on spending control and even as we support growth areas. EBITDA rose 3% to PHP 82.8 billion with margin steady at 52%, amidst higher revenues and lower OpEx. Telco core income came in at PHP 25.3 billion, down 5%, mainly due to higher depreciation and financing costs from network and IT investments. On the other hand, core income was stable at PHP 25.8 billion, supported by Maya's sustained profitability. Our share in Maya's core net income reached PHP 603 million for the period, a PHP 1.5 billion turnaround from last year's loss. Maya remained profitable for the third consecutive quarter, showing consistency that it solidifies its position as the country's leading fintech ecosystem. In summary, our 9-month results show a stable top line, resilient EBITDA and improving contribution from digital businesses. Consolidated service revenues reached PHP 145.9 billion, up 1% year-on-year. If we exclude legacy services, total revenues rose 3%, showing the continued expansion of our growth areas. Within these growth segments, fiber revenues grew 7%, reflecting solid demand for reliable connectivity. Mobile data and fixed wireless revenues were up 1%, with usage and 5G adoption continuing to rise. Please note that beginning this quarter, we will now include fixed wireless access, FWA, within our growth segments for our wireless business. The base numbers have been adjusted accordingly to provide like-for-like comparison and reflect organic growth. Fixed wireless growth is driven by the expanding 5G base and stronger network coverage. For enterprise, corporate data and ICT revenues grew 2%, returning to growth in the third quarter as government and public sector projects started to ramp up after election-related delays in the first half. ICT on its own grew 27%. Overall, the shift towards these growth areas, namely fiber, data, fixed wireless and ICT continues to offset the decline in legacy revenues. Focusing on the third quarter, I'd like to point out that all major business units delivered positive growth even with legacy drags showing recovery, especially for our mobile and enterprise groups. Consolidated service revenues rose 2% year-on-year to PHP 48.8 billion. Excluding legacy services, total revenues rose 4%. Wireless consumer revenues were up 1% with mobile data and fixed wireless delivering 3% growth year-on-year. Home revenues climbed 3%, while fiber revenues were up 6%. Enterprise, as mentioned earlier, is now back on its growth path, still a 2% increase year-on-year with corporate data and ICT up 5%, while ICT services on its own grew 51% year-on-year, as government projects begin pushing through. Overall, third quarter marked a broad-based recovery with improvements in both mobile and enterprise, reflecting steady execution and disciplined growth across the group. Now let's take a closer look at each of the business units. Home revenues grew 4% year-on-year to PHP 45.7 billion, driven mainly by continued fiber demand. Fiber revenues were up 7% to PHP 44.5 billion, now accounting for 97% of total home revenues. We added 265,000 net fiber subs year-to-date, up 67% versus last year. Total fiber base is now 8% higher year-on-year. On prepaid, we have selectively introduced prepaid fiber in appropriate growth markets, specifically targeting quality subs, who have a high probability of topping up regularly. In this way, we not only secure revenue growth but also sustainable profits in the long run. Prepaid sub count has grown 15x since end of 2024. ARPU held steady at PHP 1,470, the highest in the industry, driven by our value-based bundles such as video and gaming. Churn remained low at 1.9%, reflecting strong customer loyalty and consistent network quality. To further extend our reach, we have launched Air Fiber and Laser Internet providing fiber-like speeds in hard-to-reach areas at lower cost. This technology expands our coverage and improve service availability in underserved locations. Overall, Home continues to deliver solid growth, underpinned by fiber leadership, high ARPU and expanding access through new technologies. Let's now move on to Enterprise. Year-to-date revenues reached PHP 35.6 billion for the first 9 months, broadly steady year-on-year, while corporate data and ICT revenues rose 2% year-on-year to PHP 26.7 billion. Within this, ICT revenues grew 27% year-on-year, driven by strong demand for managed IT services up 115%, data center colocation up 25%, cybersecurity services up 12%. Importantly, the business unit returned to growth during the third quarter, reversing early year softness as delayed government projects pushed through. Enterprise revenue rose 5% versus the second quarter with corporate data and ICT up 7%, led by a 40% increase in ICT services. Corporate data and ICT now account for 75% of total enterprise revenues, reflecting our continued shift toward high-value services. PLDT also continues to strengthen its leadership in AI and data infra, positioning the group at the forefront of the country's digital transformation. We recently launched Pilipinas AI, the country's first sovereign AI platform hosted at VITRO Santa Rosa. This platform enables the enterprise to build and deploy AI models locally, giving businesses access to GPU-powered computing on demand. For our wireless business, revenues reached PHP 63.2 billion for the first 9 months, down slightly by PHP 0.3 billion versus last year due to legacy brands. Data revenues, which now include mobile data and fixed wireless rose 1% year-on-year to PHP 57.3 billion, accounting for 91% of total wireless revenues. For the third quarter alone, data revenues were up 3% year-on-year, reflecting steady demand and continued monetization discipline. Fixed wireless sustained strong momentum with revenues up 18% year-on-year as Smart leads the market by revenue share. If we remove fixed wireless, mobile data revenues rose 1% to PHP 56 billion. Performance was supported by stable data traffic growth, disciplined monetization, customer value management initiatives that help optimize spend and reduce marketing costs. 5G adoption continues to expand with the number of 5G devices up 39% year-on-year to 10.5 million, while data traffic rose 6% year-on-year to 4,393 petabytes. The share of 5G devices in the total base improved to 18%, driving higher data usage and improved customer experience. As we continue to innovate on the product side, we also stay focused on cost discipline across the group. Total cash OpEx, subsidies and provisions for the first 9 months of the year came in at PHP 63.1 billion, down PHP 1.1 billion or 2% versus last year. The biggest savings came from compensation and benefits down 7%, reflecting continued workforce optimization. Selling and promotions were also lower by 18%, driven by better campaign targeting and spend efficiency. Subsidies were also down by 25%, reflecting Smart's deliberate shift towards higher quality acquisition and tighter credit screening for postpaid device plans. On the other hand, repairs and maintenance rose 4% to PHP 23.6 billion, reflecting ongoing network expansion and site rollouts. Contract-specific services were up 25%, tied to the ramp-up of key enterprise and ICT projects. For the first 9 months of 2025, EBITDA reached PHP 82.8 billion, up 3% year-on-year with margin steady at 52%. This performance reflects the combined impact of a PHP 1 billion rise in revenues along a PHP 1.1 billion discipline for decline in operating costs. The 52% EBITDA margin has held firm, demonstrating our ability to defend profitability even in a very competitive environment. Telco core income reached PHP 25.3 billion, down 5% year-on-year, mainly due to higher depreciation and financing costs from network and infra investments. Core income was steady at PHP 25.8 billion, supported by continued earnings from Maya, whose consolidated core income hit PHP 1.6 billion year-to-date. Maya remained profitable for the third straight quarter, continuing to gain scale through higher transaction volumes, growing deposits and steady expansion in its lending and merchandise businesses. This quarter also includes PHP 2.6 billion in accelerated depreciation and noncash charge related to modernization of our core and IT systems and the retirement of legacy assets. Reported income stood at PHP 25.1 billion, lower year-on-year, mainly reflecting the absence of last year's higher ForEx and derivative gains as well as the accelerated depreciation booked this quarter. CapEx for the first 9 months stood at PHP 43 billion, down from PHP 52.3 billion for the same period last year. CapEx intensity improved to 27% from 33% a year ago, driven by lower spend on network and IT as major projects near completion. For the full year, 2025 CapEx guidance is lowered further to PHP 60 billion, lower than the original guidance of PHP 68 billion to PHP 73 billion. This is mainly due to more favorable pricing and terms. We continue to invest in new cell sites, LTE and 5G upgrades, home fiber ports, data center development and submarine cables. These projects will strengthen network quality and support the growth of enterprise and digital services. As at end of September, net debt stood at PHP 289 billion, translating to a net debt-to-EBITDA ratio of 2.61x, slightly higher than the prior quarter, but still within our target range. Our gross debt was at PHP 299 billion with 60% of maturities falling beyond 2030, providing a long runway and minimal near-term refinancing pressure. About 13% of total debt is U.S. dollar-denominated. With only 5% unhedged, keeping ForEx exposure very manageable. The average interest cost was 5.49%, up slightly from last year's 5.08% as lower rate maturities are refinanced. Our interest coverage ratio remains healthy at 3.37x, while our average debt maturity is 6.5 years. PLDT remains investment grade with ratings from S&P and Moody's. In terms of cash flow, we recorded PHP 1.1 billion in proceeds from tower sales and completed a PHP 20.5 billion final dividend payment for 2024 during the period. Incidentally, PLDT hit positive free cash flow as of September 2025, ahead of its forecasted 2026 target. Looking ahead, we are working towards reducing leverage to around 2.0x net-debt-to-EBITDA, which will be supported by our asset monetization program as well as lower CapEx. Now let me now discuss Maya, the Philippines all-in-one fintech platform powered by Maya Bank and Maya Philippines. It's a fully integrated platform that unites digital payments, savings and lending for both consumer and enterprises. Maya has created a powerful 2-sided network where more customers drive more transactions, generating richer insights, which enables higher cross-sell of products and ultimately, delivering scale and profitability. Maya continues to lead with strong performance across deposits, loans and payments. Maya remains the #1 merchant acquirer and card payment processor. It delivered PHP 532 million in net income in the third quarter, sustaining profitability while growing. Banking customers nearly doubled year-on-year to 9 million, while its cumulative borrower base grew 81% to 2.4 million. Deposit reached PHP 57 billion, up 59% year-on-year and total loans disbursed since its inception hit PHP 187 billion. Maya continues to onboard millions into the formal financial system, especially younger users and underserved segments. It continues to be the digital bank of choice for young customers across the country. Of the 9 million customers in just over 3 years, 84% comprise Gen Z and millennials and 76% are based outside of Metro Manila. Of the 2.4 million borrowers that Maya has given credit to, over half are first-time borrowers with no previous lending history. Maya's deposit base has grown to PHP 56.7 billion as of September, more than doubling from end of 2023. It disbursed PHP 36 billion in quarter 3 alone, bringing its total loan disbursement since launch to PHP 187 billion. The loan book now stands at PHP 27 billion with loan-to-deposit ratio at 48%. Net interest margin rose to 18.9% for the first 9 months, while maintaining a healthy portfolio with an NPL ratio of 6.3%. Maya continues to expand its fintech ecosystem through product innovation and strategic partnerships. Maya launched Maya Black, its premium credit card in quarter 3, receiving a very strong response from the customers. Around 40% of Maya Black cardholders are first-time credit users, underscoring Maya's role in democratizing credit access to Filipinos. Maya also launched an innovative personal loans product in the previous quarter that incentivize users to make periodical savings habit by offering higher rates. Maya is also leveraging its relationship with established businesses like Cebuana Lhuillier to expand credit to unbanked customers through over 3,500 branches and 25,000 agents nationwide. In summary, Maya's strong growth across payments, deposit lending reflect the power of a fully digital integrated ecosystem. PLDT continues to mark progress in its sustainability journey as manifested in its latest ESG ratings, which continue to register improvements as you will see on the slide. We continue to align with global best practices, and we have started to take part in global conversations. At the Climate Week in New York, PLDT and Smart represented the Philippines at the United Nations Global Compact Leaders' Summit, which we showcased a homegrown innovation that integrates localized mapping of natural hazards and remote monitoring of network facilities into a single visual dashboard. We were also featured in the Philippines 2025 Voluntary National Review presented by the Department of Development, highlighting the country's progress on sustainable development goals. Other highlights during the quarter includes a workshop with our supply chains where we cascaded our biodiversity policy, particularly in the context of network rollouts. Smart also secured a PHP 2 billion green loan with proceeds to be used to accelerate the rollout of our 5G network nationwide, which is more energy efficient. Now that concludes our prepared remarks for PLDT's 9 months results. We're now open for questions.
Marseille Nograles: Thank you so much, Danny, for your insights. Before we open the floor to your questions, allow me to reintroduce our business leaders in the room. I'd like also to recognize our COO, Mr. Butch Jimenez; Aayush Jhunjhunwala of Maya. The CIO of Maya has also joined us as well. And just to remind everyone, those who are in the room with us are our Head of Consumer Business Home, Mr. John Palanca; our Head of our Enterprise business; Mr. Blums Pineda; ePLDT and Vitro President, Viboy Genuino; our OICs for Smart, Lloyd Manaloto and Marjorie Garrovillo. Of course, we have our CFO, Mr. Danny Yu; our Chief Legal Officer, Ms. Joan De Venecia-Fabul and our Corporate Secretary, Ms. Marilyn Victorio-Aquino. [Operator Instructions] The first question here is from Nicky Franco of Abacus Securities. This is for Maya. Given that Maya's lending was still strong in 3Q '25, what were the main drivers for the drop in net income for the period? Were there any one-offs that were attributed to this? Aayush, would you like to take that?
Aayush Jhunjhunwala: Sure, Jinggay. Thanks for the question. So there are a couple of factors that resulted in a slight drop. One was the slight impact of the removal of gaming links, the effect of which started to come in the August of 2023 as per BSP's direction. And secondly, as Danny mentioned, we launched Maya Bank Black Credit card. And as I mentioned in the previous call as well that we had launched our personal loans. So as we scale these longer duration loans, they will continue to have some provision -- some excess provision impact in the near to medium term before the -- until the portfolio matures. So these are the 2 sort of main factors for that.
Marseille Nograles: Thank you, Aayush. All right. It looks like we also have some questions here from Arthur Pineda of Citi.
Arthur Pineda: Several questions, please. Firstly, with regard to the KPA and the IRRs, which have been released by -- and signed by the President, how do you see this impacting your profitability as well as your investment profile going forward? I'm just wondering, do you see the new revenue opportunities as outweighing the revenue risks with regard to upcoming competition? Second question I had is with regard to mobile. I mean we've seen this has been -- it has been trailing that of your competitor for the third straight quarter. What's driving this difference in performance? Is there any issue that the company needs to work out? And the third question is on enterprise. You mentioned an uptake in government projects earlier. I'm just wondering, are you seeing sustained uptake into the fourth quarter, given that we've seen a slowdown in the broader macro momentum and government spending?
Marseille Nograles: Thank you, Arthur. Okay. We have 3 questions here. Perhaps we can take your first question -- your second question first, which is on wireless. It's been trailing for a while. Is there any difference in performance that you'd like to highlight? So Marjorie or Lloyd, would you like to take this question?
Marjorie C. Garrovillo: All right. So for the wireless business, whilst we have been trailing behind Globe in actual revenue, when you actually review the growth rates, we could actually see that the Smart Wireless group has actually achieved a flattish growth rate for year-to-date 2025 versus Globe. It's actually more of a negative. Number two, the actual Q3 achievement versus last year, Smart is also ahead, right, versus Globe. Now what's interesting is that what we've actually managed to do is using tools like hyper targeting, we actually have been able to secure higher quality subs space so much so that our ARPUs for Smart have actually improved. So we're actually at a positive 2.5% on our ARPU for Smart versus Globe, for example, which is at negative 5.5%. We do believe that with tools like this and actually focusing on how we could generate more positive growth, we should be able to at least stabilize and actually sustain our mobile resilience.
Lloyd Dennis R. Manaloto: Also, I'd like to add to the fact that if you look at fixed wireless -- for example, on wireless network rapidly growing, and this is driven by our investment in 5G and investment in 5G devices. So that's one area we're also focusing on as a total portfolio because we see the bigger growth in that.
Marseille Nograles: Thank you, Marjorie. Thank you, Lloyd. Let's take your question on Enterprise next in terms of the sustained uptick in the fourth quarter. Blums, would you like to take that?
Blums Pineda: Yes, sure. Thanks for the question, Arthur. So with PLDT Enterprise, yes, we are seeing the continued momentum, as we mentioned before, into the fourth quarter and also into early Q1. As you can imagine, some of the nature of the projects will probably result in some slippage of award dates, et cetera, which is quite normal. But we're seeing still that level of investment and activity. There's a lot of -- across both national government agencies and LGUs, continued demand here that we're serving on both the connectivity and the ICT side.
Menardo Jimenez: Can I add to that?
Marseille Nograles: Yes, of course.
Menardo Jimenez: Just, I guess, a couple of insights on where the government is going to land in terms of sustaining their investments in digital connectivity. Of course, I can't speak for the government at this point in time. But generally, what we see is that they are going to continue their trust and their investments in being able to connect the Philippines digitally. I don't see that slowing down. And I think that after realizing that they've spent too much on flood control, they've started to sense that maybe they should start shifting some of that expense or that spend to other areas and digitizing or providing digital connectivity to various aspects of Philippine society is something that they are talking about prioritizing. So first, let's talk about data centers. The government or PBBM has already given the DICT an order for public sector data sovereignty. That becomes a big driver for the enterprise group in terms of possible revenues in the future, principally because we do have the biggest data center in the Philippines, and we are the only ones at this point in time that can provide GPU as a Service leading towards AI. Aside from that, the GIDA site investment or initiative of the government has just finished its bidding. PLDT, Globe has gotten its fair share of rolling out in GIDA sites. So that is going to add revenue for our company, at the same time, continue the investments of the government in connectivity. Now tomorrow, I will be presenting to the PSAC, the Private Sector Advisory Council, a couple of more initiatives to digitize state universities in the Philippines and the other one is health care centers in the Philippines. So it looks like they are realizing that we are far behind our Asian or ASEAN neighbors when it comes to digital connectivity, and it's one of the priorities that I think the President and the government is going to push forward in 2026 and beyond. So looking forward to a sustained investment of the government in connectivity.
Marseille Nograles: Thank you, sir, Butch. The last question, which is on Konektadong Pinoy. Marilyn MAVA would you like to take this one?
Marilyn Victorio-Aquino: Lot of opportunities. It's difficult to assess the opportunities right now because this is the first country where they are going to roll out the open access for all assets model. So we don't know in what shape or form it will -- it will basically be form in the Philippines. But aside from that, if there are new players that are with the vision and philosophy that allows them and are committed to invest in the Philippines, invest in new infrastructure that will complement and supplement our network, that is an opportunity that we can consider because it will strengthen our network together. And we may be able to improve the connectivity for the entire country and maybe that will help in the vision of the connecting Filipino to have more connectivity even in the GIDAs area and also improve the Internet connectivity in the entire country. But that requires -- but that is something that we can find an opportunity that we can explore and exploit and create new partnerships around that. But if it is pure access, it's hard to assess the opportunity right now because we don't know how it will be rolled out in the Philippines, the open access for all assets.
Arthur Pineda: So no indications on the IRRs based on what's been signed by the President so far?
Marilyn Victorio-Aquino: I'm sorry?
Marseille Nograles: Indications on -- how we feel about the IRR?
Marilyn Victorio-Aquino: Well, how we feel about the IRR. Mr. Pangilinan answered that earlier in the media briefing. Maybe Jinggay will read his answer.
Marseille Nograles: Sure, sure. So he had a very -- he had a statement earlier that he shared with the media. So I'll just quote what he mentioned, and I'll share it with you, Arthur. So when he was asked about PLDT's overall view on the final IRR, he answered by turning the question around, right? Do we think that the law as written actually achieves what it's set out to do, cheaper Internet for all, wider coverage, more infrastructure because the law and its IRR right now do not impose any obligation on new entrants to build infrastructure. There's no requirement to start in geographically isolated or disadvantaged areas. And there is no service obligations to ensure coverage or quality. And if you recall, in the Ramos administration, there was a sound model under the service area scheme, where telcos were assigned specific regions and targets like reaching the number of households to be connected, right? And that created real infrastructure build-out at that time. And the Konektadong Pinoy law, on the other hand, does not have such provisions. So really, the question remains on whether it will truly deliver on its promises. So that was the statement shared by MVP earlier on the IRR. All right. We have another hand raised from Ranjan Sharma.
Ranjan Sharma: My questions are related to the KPA as well. Can you help us understand what -- how the wholesale access pricing mechanism is going to be set? When you're being asked to open up your network, on what basis are wholesale access prices that you would be charging any access seekers? Is this completely on commercial terms? Is there a cost model associated with it? And the second question is on the spectrum. I think there's also spectrum management provisions as well, which includes clawback of underutilized spectrum. Can you help us understand how that might impact the industry as well?
Marseille Nograles: Yes. In terms of the pricing, I don't think there has been any specific model that was shared in the IRR, right? The way it was drafted was that the incumbents are to submit our price list in the reference access offer and that will be reviewed by the regulators to determine if it is fair, reasonable and nondiscriminatory. So I think there's really no specifics at this time, Ranjan, on using any specific model.
Marilyn Victorio-Aquino: Maybe I add to that. In fact, it is not clear to us because we already have open access, bilateral contractual commitments, right. We do open access on a contractual basis. But it's not clear to us, for example, whether or not the pricing that we have assumed based on voluntary contracts with counterparties will be the same price that will be approved by the regulator. And there is also a provision in the IRR, which says if it's a significant market player, then the regulator may scrutinize your pricing. And what that means is not clear to us, whether or not significant market players will be required to price down their offering compared to contractual commitments that they entered into before Konektadong Pinoy. It's not very clear to us. So on the spectrum underutilization, is that the question?
Marseille Nograles: Spectrum management provisions, how we see this impacting our business?
Marilyn Victorio-Aquino: Well, it will have an impact on the business, but please appreciate that right now, there is no standard for underutilization. It really depends on how you use the spectrum. If you use the spectrum as a macro site, the utilization might be different. If you use the spectrum to cover that basically blind spots or if you use it to have continuous trouble, the utilization would be different. And so the spectrum management policy is intended to, I think, come up with that. And hopefully, there will be a consultation with the stakeholders like us, who are using the spectrum. And hopefully, there will be a transition period if they set -- if they define, for example, underutilization as such, then the next day, they will start recording the spectrum that might not be fair because it's basically a totally new definition of underutilization, which we are unable to comply, if the next day, they will start recording. So that is what's not clear. But I think they will have a period from the effectivity of the IRR to come up with a spectrum management policy framework, but that's not very clear right now.
Marseille Nograles: Okay. Looks like we have some questions here as well from [indiscernible]. So 2 questions on net debt. You mentioned that net-debt-to-EBITDA will be reduced to 2x, which year is this expected to be achieved? So that's the first question. Second question, net debt to EBITDA is increasing a lot faster than net profits. Where is the -- where in the business is that going into?
Danny Yu: We continue to spend on IT network rollout and data center development. So that's where the EBITDA -- that's where the debt go to now. With respect to projection, I think it will be about 3 to 4 years from now going to the 2.0. But certainly, I think the positive news is that we finally achieved positive free cash flow as of September, ahead of our forecast in 2026. That's one good news. And we hope to sustain this with lower CapEx moving forward as well as with our monetization program.
Marseille Nograles: And we also have a question related to that regarding our positive free cash flows, how confident are we that we can sustain this into 2026?
Danny Yu: We're confident because we will have lower CapEx moving forward, again, as mentioned earlier, because of our asset monetization program.
Marseille Nograles: And also, this is a common question that was sent to us earlier. Any updates on the current asset monetization programs, namely the data center stake sale as well as the copper sales?
Danny Yu: On the data center, we're currently in talks with prospective investor, who intends to take around 49% of the business. At the same time, we're also exploring the possibility of doing a REIT listing for our data center, just in case the other falls true.
Marseille Nograles: Thank you, Danny. All right. We have another question here from John Te of UBS.
John Te: Two questions. First is on the fixed broadband net adds, quite strong, 95,000 compared to your run rate of 70,000 in the first half. So how much of this was prepaid? How much of this was postpaid? And what drove the acceleration there?
Marseille Nograles: [indiscernible], would you mind taking this?
Unknown Executive: So thank you for the question. Yes, we've actually been able to build up the install rates over the last quarter. We leased up not just our channels, but our installed team. So we're able to gather more. I can't -- all I can say is that in the third quarter, we've seen more than a threefold increase in the prepaid subscriptions. And we're doing this in a very different way. I think I mentioned in the previous quarter that while we are growing the pie to ensure that the ARPUs remain at the high level and not cannibalize postpaid, our acquisition of prepaid has been very targeted to areas where prepaid applies. So growing the pie from Tier A and Tier B municipalities to what is now probably Tier C and probably opportunities is very selective. So we will not be seeing the same volumes, but what we will be seeing are the quality subscribers who have the high propensity to top up. We -- as mentioned from the beginning of the year, we have grown more than 3x already, 3.3x to be exact. And once we're ready to release the figures, I think we have a sizable market -- rather subscriber base on prepaid, then we will do so. So at the moment, the majority of it is coming from our postpaid acquisitions.
John Te: Okay. A quick follow-up on for -- maybe for Danny. On depreciation, there was PHP 2-plus billion charge in 9 months, but safe to assume that most of it came from the third quarter. And the related question on interest expense, given that debt really hasn't changed, but there was a spike on year-on-year interest expense. Would this mainly come from, I guess, leases for towers, et cetera?
Danny Yu: I'll take the second question first. The reason for the increase in interest is mainly due to increase in the weighted average rate by around 49 basis points. That's one. The second reason for that is that also increase in the weighted loan average by around PHP 19 billion compared to the previous year. So that's for the second. What was the first question again?
Marseille Nograles: Accelerated depreciation of PHP 2.6 billion...
Danny Yu: It's mainly retirement of legacy assets as well as modernization of our IT and network core system and the accelerated depreciation is a fast-paced capital-intensive industry, and it's rapidly changing. So we have to continually review the economic life of these assets.
John Te: And most of it occurred in the third quarter, right?
Danny Yu: Yes, in the third quarter. I think we recorded that in July of this year.
Marseille Nograles: Okay. So some questions that were sent in as well. This one is for Enterprise. You recently launched SmartSafe as well as Pilipinas AI. How do you see these contributing to your revenues moving forward?
Unknown Executive: I'll tackle SmartSafe and I guess I have Vitro President of ePLDT and Vitro, Viboy Genuino will tackle the Pilipinas AI announcement. So on the SmartSafe, yes, we have actually been bringing this to customers already even in Q3, but we did a commercial launch just last week. Basically, with SmartSafe, this takes advantage of specific technology on the Smart network that makes it as secure for someone to have a transaction on a mobile app that's enabled for this so that they don't need an OTP. So it's a very seamless log on, but also just as secure as an OTP type motion. You bypass the risk of your OTP being intercepted, et cetera, which is very common nowadays. From a revenue standpoint, of course, this is a capability we need to work with other B2B companies that have app, so the banking, government apps, et cetera, for them to build this into -- very simple to do it -- for them to build it into the next release of their app. So that's a motion that's happening now. We're quite excited that we have several institutions with apps that are interested in this and looking to launch it as soon as possible. So we'll keep the team posted in terms of what that is. Turning over to Viboy.
Victor Genuino: Yes. Thank you, Jinggay, for the question on Pilipinas AI. So yes, we launched this in the third quarter of this year. And the basic concept is to be able to offer a platform for enterprises to be able to run AI use cases. The main issue of enterprises now is that they want to run AI use cases or proof of concepts, but they don't know how to utilize it and how to build the infrastructure around it. They have to source for the GPUs. They need to talk to a staff provider. They need to talk to a data center. They need to provide the connectivity and the cybersecurity requirement. We're basically taking this pain point away from the customer and letting them run these different applications on a ASU model wherein they can run the POCs on an hourly, daily, weekly or a monthly view. And we've seen a lot of interest coming from enterprise customers, who really want to experiment and run AI use cases. So we're very happy to be able to offer this service to our customers. We're the first company in the Philippines to actually bring in NVIDIA H200 GPUs, the most advanced GPUs of NVIDIA currently, and we're seeing a lot of interest in it.
Marseille Nograles: Thank you Viboy. This question is from [indiscernible]. And this question is for Danny. Noting that your debt levels have increased this year despite continuous lower CapEx guidance. Is this mainly for refinancing? Increased net debt despite lower CapEx guidance. So is the increased debt because of mostly refinancing? Or is there -- are there new...
Danny Yu: Mostly refinancing. Yes, mostly refinancing.
Marseille Nograles: All right. And from Tony Watson, any thoughts -- this is for Aayush. Any thoughts that you can share on a potential Maya IPO or spin-off?
Aayush Jhunjhunwala: I think we'll stay clear of that. I think we are focused on driving the business and any IPO decisions, et cetera, will be led by the shareholders. But we, as management, are sort of fully focused on just executing and scaling our products.
Marseille Nograles: Thank you, Aayush. Just doing a last scan for questions here. If there's any from the floor. Okay. It looks like there are no further questions. With that said, I'd like to thank everybody for your time today and joining us for our 9-month briefing. If you have any further questions that you'd like to send to us, please feel free to reach out to us via e-mail. And with that said, we look forward to presenting our full year results by February of next year. All right. Thank you, everyone. Have a good afternoon.
Danny Yu: Thank you.
Unknown Executive: Thank you.
Aayush Jhunjhunwala: Thank you.